Thomas Hasler: Good morning. I think everything has been said in the video. Are there any questions? No, I think a great introduction. But at the same time, as in Sika, we start for now three years every meeting, every event with a safety moment also here, before we take off like in the airplane just a little reminder, we don't expect to. But if there is any emergency then please be reminded in the back, there are the exits, the emergency exits and then from there to the left and to the right to leave the – to leave the building. So now let's buckle up and then get started. And I think here to start with the theme – nothing show here. Can you make it on the screen as well? Okay. I just – okay now it’s here. So the theme of today, we have great results we want to share with you. But at the same time we would also like to emphasize Sika's stronger than ever. Stronger than ever on multiple access and started with the sales growth. When we look at the past five years, we've given all the uncertainties that we have with COVID, with the supply chain disruption, with the integration of the largest-ever transaction in Sika's history, we have increased our sales year-over-year significantly and significantly also outperformed the market and our peers. It's a promise also for the future. That's the heritage of the company growing. But not only growing on top line but also of course, that's a must for us also to increase our EBITDA, our profit generation in absolute but also in relative with 19.3% an all-time high has been achieved in last year. Again, stronger than ever. That's the base for 2024. And it's important to reflect a bit regarding the last four years or five years. The jump in net profit of 17.4% of last year compared to prior year. But when you look also in retrospect the five years with all the one-time costs that came in with all the let's say, the adjustments, it is a steady improvement. It shows that we are working for profit that we are working to have a healthy net profit baseline. We turn it into a more relevant for shareholders' earnings per share ratio. We have increased almost 50% over the years. And of course here also with the bonds that we are converting last year or in 2023, when you look this is behind us, it's a steady improvement on the EPS 49%, CHF 7.76 from roughly CHF 5 per share in 2020, again underscoring our long-term value to the shareholders. On the dividend, here we just show the last 10 years, it's 200% growth on the dividend level. And our dividend proposal will be explained by Adrian later on. But also here we can go even further back. For the last 25 years in average, the annual increase in the dividend has been double-digit, 25 years average increased double-digit for the company. Now let's look a bit more into last year's key achievements. And here I would like just to emphasize I think the sales number we have communicated by the regions; Americas 11% 7% EMEA and Asia Pacific 2.4%. But just to remind us, EMEA for the first time crossed the CHF 5 billion mark. Americas for the first time the CHF 4 billion mark. And I was checking a bit our history. And it is in 2007 that the whole group crossed CHF 4 billion. It is 2013 that the group crossed CHF 5 billion and we are close to CHF 12 billion now. This is the significant growth pattern that we have, that is also represented in last year's sales records and it is also our future vision growth profitably. We are not alone. We have others as well. We compare ourselves to the peers. We have shown this slide several times. We are outperforming our peers, more than 2%. These are the nine months results of our peers, since we don't have yet all the numbers. We expect this gap even to further increase a little bit, when we have the full reports available. Outperforming -- the peers outperforming the market share gain, profitable market share gain. That's the DNA. That's what we are driving for. And this is also a testimony, when we compare with our peers that we are doing that consistently. Then, let's talk about the core of the success. I'm standing here. I have the privilege to represent 34,000 employees that have generated the results that I can share with you. It is this workforce that has a super high dedication and identification with the company that goes very deep. This has also been reconfirmed with the employee engagement survey last year with a very strong 86% engagement level, considering that some of the MBCC individuals have been less than nine months before the survey came through on board. So this testimonial also on how the MBCC integration, from the get-go has been well received and underlined with this super high engagement score, which is the foundation of everything. It is not me that steers 103 countries. It's the country leaders, with their teams that are excelling the market condition take opportunities everywhere. We support them, the regions. We from the group, we support them. But ultimately, the heavy lifting takes place in the countries with the support from the regions and from corporate. Talked about a little bit about safety, in 2001, when I took over we reflected a bit on our employee. Our workforce that is so engaged and we realize that our safety score is actually not matching our aspiration. And it became then a journey for all of us to say, cannot be we have to improve. And you see here also, how the organization has built on that and has reduced the accident rate significantly. That's an amazing journey. And it comes from the organization. In the employee survey of last year, safety has been the single most outlined highest priority topic in the organization. I'm very proud of this achievement because this is not something you can dictate top down it comes, bottom-up. So this message has found routes. And it is a cultural aspect now that is lived every day and that we are very proud of, as a safe work environment is protecting not only our employees, it's also let's say, a well-structured work environment. It's an efficient work environment. It has multiple benefits on all angles. But first and foremost, we want our employees to go home, healthy as they come to work. On the non-financial figures, we also have a set of impressive achievements. As mentioned the safety is 36% in a single year, reduction in accidents per 1000, but also the other, the waste reduction which is a key target of our mid-term strategy, the CO2 emission reduction on Scope 1 and 2 minus 10%, water discharge minus 7%. So we are working on the financial as well as on the non-financial, as outlined in our strategy. And we achieve or over achieve actually our targets as we speak. But of course, we also have our set of financials. And I think here Adrian will go further into the details. Maybe one point that just I would also highlight here is of course, the improvement on the material margin which is significant giving us a boost on getting us into the 54% to 55% range. That's our target range, but we are right spot on in the middle of that range and more light into that than in Adrian's explanation, later on. I would like to reflect a bit this has been the first year of our Strategy 2028. And what does that look like? This is our strategy. The new strategy we announced in October 2023 and 2024 the first year. How have we performed according to our own strategic targets? This is the slide that explains almost everything. We have here an ambition to grow, 6% to 9% in top line. We grew 7.4%. We have an ambition to grow into the 20% to 23% EBITDA range starting next year when the full MBCC integration has been materialized. We grew from last year to this year -- from 2023 to 2024 110 basis points, making major steps towards the 20% goal that we want to achieve next year. So, here a year of the five-year that indicates we are well on track with our strategy implementation. And that is based on the strength that we have with our portfolio. We have the eight target markets. And you see that all of them are substantially contributing to the overall performance. They are between 10% and 20% in contribution. So, we don't have one major one that is let's say overshadowing all the others. This is a set of and when you look into the target these are all solutions, solutions for waterproofing, for sealing and bonding, concrete solution, flooring solution. These are our products our innovation that are represented very well across the total top line. And this is then transferred into the cross-selling solution for the specific verticals. For commercial projects, where you have waterproofing, where you need concrete, where you need interior building finishing, where you need all this solution, all the target market solution, the cross-selling at the end comes to the point where it goes into action with the specific project. This is on infrastructure, residential, commercial, and also automotive and industry is benefiting from multiple target markets that we can sell into that segment. So, we have here the eight target market, but then we focus on the final customer which are then segregated by the key verticals as outlined here, significant cross-selling that we can place. We have not a single target market or a single vertical dependency. We can balance that and we can cross-sell nicely into these vertical markets. M&A has always been a key contributor and remains a key contributor. And here you can see the funnel also over the last five years where you see what are the basic reviews. We are doing what goes into a more concrete phase into non-binding and ultimately, into an execution. And here also the year 2022 and 2023 have been years where we were a little bit more engaged with antitrust authorities across the world, which was limit a bit our let's say possibility to pull through but it is behind us. Last year we came back we are full steam into bolt-on small and midsized acquisition and more to come. But we had a bit an impact as we went through this antitrust approval process in 2022 and 2023. And you see 16 acquisition executed. One, of course, MBCC, that's a special but 15 bolt-on. That's contributing -- and that's also going to contribute of course in the future. Then be a bit more specific about MBCC, a wonderful performance-enhancing acquisition. Of course also a lot of work. A lot of work that has taken place up to now, but it is worthwhile. We generated CHF125 million synergies more than we initially have guided for. It is of course helping us also -- MBCC came in with a much lower EBITDA ratio and we have lifted that almost to the level of Sika in the meantime. So, very quickly this acquisition has from a dilutive also a high integration costs become a contributor in 2024 already. And Adrian is going to show that in more details and going forward the strongest platform ever. This is the power of Sika. The integration is not complete, but it is behind us. The focus is on the market, the focus is on using the full power. The full power of the people, the footprint that has substantially expanded. The integration that makes us stronger on a local level, bringing us cost synergies, bringing us portfolio synergies. We have the strongest portfolio in the industry by far. It is also branding-wise fully integrated. Here we were forced by the regulators and this is one of the few points that I thank them for forcing us because this is now realized we have one portfolio. We have a clear way forward with the strongest portfolio, the best of both worlds for our organizations going forward. Now a few examples of the strong business execution from last year but also going forward. I think here already in the video it has been shown a few examples of outstanding infrastructure projects. The longest cable bridge in North America. I just missed it. I live five years in Detroit so that bridge would have helped me a lot to get over to Winter. But it is now realized. It is one of these, let's say, mega projects just like also the Montenegro Highway, which is an impressive, let's say, contribution from high-value projects like the tunnels and bridges on a 41-kilometer stretch. The whole highway is going to be more than 160 kilometers and there will be more and more bridges and tunnels to come in execution until it's finalized. Then the Thames Tideway Tunnel the biggest -- largest sewage tunnel you have seen it in the annual report you will see it, it's a substantial improvement for the sewage system in London. And London is just an indication what is going on in mature markets. We have huge backlogs there in sewage system. And now you can say the UK has been challenged economically and the spending in this takes place. So this spending takes place under all, let's say, weather condition and it's a great example also for Sika how we can still advance and grow even if markets are a bit more challenged. Data centers. We talked about data centers excessively and I think rightfully because it is clear that digitalization is changing industries is changing the way we do business universally. But for this the infrastructure is crucial. These are the micro whether these are the semiconductor microchips. These are the -- these are of course the data centers where the datas are aggregated. CHF 700 billion are going to be spent in the coming years. And Sika has been a forerunner in specifying reliable durable and sustainable solution for data centers. And I can proudly say still today in more than 50% of the project Sika is in the data center because we were early movers. And we are using that, let's say, early mover status to penetrate. And these are owners that are focusing on having robust infrastructures that are not at risk to shut down because of a leakage, because of a construction failure and they are focusing on the best in the industry and we are the best and we are with them and we help them to execute this massive number of data centers globally speaking. Innovation at the core of our company a few examples that we also highlighted at the Capital Market Day. When we look at the concrete business there, are multiple significant improvement possible that are actually reducing overall cost for contractors and owners like the reinforced fiber approach. That is also reconfirmed by the World Business Council for Sustainable Development. When we replace steel bars with fibers we have multiple positive effects. The costs come down, labor is reduced. The durability is increased and the CO2 footprint is reduced. These are great examples of win-win-win. Concrete recycling a lot of concrete in the evening comes back half empty trucks which are a burden for concrete producers. It's 500 million cubic meters every year that need to be dumped, cured and its waste. With our innovative solution, we can reutilize that so-called waste and bring it in, in quality concrete and not downgraded into backfilling material or into cured concrete road underlayment. And again this is value for our customer. This is cost saving. Less waste means less concerns with the waste, but of course, it is also higher utilization of the valuable ingredients the raw materials that are the base of concrete. Self-healing membranes. If the product can absorb, let's say, certain defects by themselves, it's a smart way to overcome early repair or replacement. These are high-performance, high-quality durable products, which again in the long run for customers that make the full cost approach to their construction to the building have an immediate clear benefit of investing into such a top-quality membrane at the beginning. But also in other areas, here a good example, the specialty floor systems for the electronic for the semiconductor is super important that the floor is not influencing the production line. Here we have outstanding best-in-class innovation pattern protected of course that are in the specifications of those global leaders that's another innovation that is materializing is expanding just as an indication from the for the innovation power of Sika. Cement-free tile adhesive, reducing cement is one eliminating the Portland cement completely is another. This leads to a 50% lower CO2 footprint for the final product. And here again, it is coming with additional features in workability, it comes with attractive offers to the end user, and it is a best-in-class demonstration again on this, let's say, tile adhesive market. Digital, I mentioned, it digital solutions. The digital solutions that are going, let's say, outside and inside Sika at a fast pace. I would like to highlight here maybe on the transparency side. When I had the pleasure to lead the R&D 10 years ago, we were connecting all our R&D to 20 global centers. We were creating a spider net with multiple hubs connecting. But at that time, our platform was, let's say, one single platform where the results of our work was shared. Nowadays we can actually take all the data points that create these results the test the trial and errors all this that are super relevant to get to the result. All of this is now available globally and we can use this millions of data points that every day are generated across all our R&D labs and we can learn from so-called failed experiments, which create a feature that was not needed for this result, but now we have through AI the possibility to selectively learn from everyday's experiments. This is super powerful, high expectation. We introduced it last year. That's the way we are using AI as a simple example. But also for our customers to provide our customers tools that they are more effective being faster in analytics of the aggregates, they are using helping them with the mix design to be faster in finding the optimal mix design. These are concrete apps that help to make life easier for our customers. Then we talked about the cycles in construction, building, renovating, clearing down. Now dialing into the lifetime having monitoring devices helping us to follow the structures over lifetime and seeing early on when repair is mandated and do it early on before we have catastrophic failures or major renovation. This is the future to stay connected with the buildings, with the structures and track over lifetime and so bring also total cost over lifetime down with a few extra spending in the beginning you have this possibility. And then of course, we are just at the beginning that all the status that we are generating with our outside with our customers inside as mentioned with R&D to unlock here future innovation and collaboration generating new opportunities for Sika. These are a few highlights that I wanted to stress out here. But now we will become much more concrete on the financials and hand over to Adrian.
Adrian Widmer : Very good. Thank you Thomas. And well good morning to everybody here in the room, and the ones joining online. Well, Thomas has here presented the highlights and I think our strength in our first strategy 28th year in 2024. I will now go into a bit more detail on the financial results. And you have seen it Sika has again delivered a strong set of numbers in terms of sales, in terms of profitability, in terms of cash flow in quite a challenging overall business environment. Here again the highlights net sales of CHF 11.76 billion, a new record in 2024, 7.4% growth in local currency and translating into Swiss franc growth of 4.7%. A further improved profitability on all levels. Thomas pointed out here the expansion of the material margin to 54.5%. This is up 90 basis points also record EBITDA with CHF 2.27 billion or 19.3% of net sales representing an over proportional growth of 11%. Also, on EBIT level, strong EBIT growth 10.6% of growth here to reach CHF 1.71 billion, also here representing a strong increase. And our net profit level CHF 1.25 billion of or 10.6% of net sales. This is an increase of 17.4%. Also, strong cash generation. Continued strong cash generation CHF 1.4 billion in operating free cash flow in 2024, also a component to further deleverage our net debt to EBITDA ratio decreased to 2.2x from 2.6x in the previous year. And lastly the Board of Directors again proposes an attractive dividend increase of 9.1% to CHF 3.60. This is up from CHF 3.30. Let me now talk about the individual elements a bit in more detail here starting on the top line. You have seen it 2024 was growth was largely driven by acquisitions predominantly MBCC, an additional four months of consolidated sales, but also free bolt-on acquisitions in the Americas, which overall contributed 6.3% of local currency growth, but also organic growth was positive at 1.1% with an improving volume trend throughout the year. The second half of 2024 showed a 1.7% organic growth. Foreign exchange impacts negatively softened a bit towards the end of the year, but also here contributed a negative 2.7% in terms of top line or minus CHF 311 million in absolute terms with a resulting overall Swiss franc growth of 4.7%. Sales growth was again very solid at 7.4% in local currencies, also comparing quite well if you look across for example the last five years. And I think again, showing here the strength of the strategy and the resilience of our business model with the ability to grow also in challenging environments. And if you look across the five years average organic growth at 5.3% and an additional acquisition growth on average of 6.3% over the last five years. Moving down here the P&L from the sales line. We delivered as I said a strong expansion, a further expansion of the material margin with gross result expanding by 90 basis points from 53.6% to 54.5% declining yet flattening input cost, material cost as well as many structural procurement initiatives, also partially MBCC synergies led to this increased material margin dilution effect coming from the bolt-ons was quite small at minus 10 basis points only. And material margin looking a bit across the year in Q4 was slightly above Q3 and in line with the normal seasonal pattern where we have a somewhat lower material margin in the second half year. In looking at operating costs, which include both personnel, as well as other operating expenses, here these costs increased slightly on the proportionally to sales growth at 4.2% versus the 4.7% top line, and this in spite of here an inflationary environment particularly related to wage inflation, which was offset by strong MBCC cost synergies, operational efficiency initiatives but also lower MBCC related onetime costs, which were significantly higher in the previous year. MBCC cost synergies and operational efficiency initiatives had a particular impact in H2 with operating cost decreasing in absolute terms in the second half of the year. Specifically in terms of personnel costs here we have an increase of 6.8%, slightly over proportional additional impact of MBCC is one of the main contributors. And secondly as mentioned underlying wage inflation accounted for about 4%. This is down on the full year from around 5% in the first half year, but still with quite an impact but much reduced particularly in Q4. And here the wage inflation was partially offset by cost synergies as well as other operational efficiency initiatives. Also here correspondingly Q4 saw an under proportional personnel cost increase. Other operating expenses increased on the proportionally by 1.5% here driven by lower acquisition related onetime costs, but also here synergy development operational efficiency initiatives were quite important. Like-for-like other OpEx growth in Q4 was negative. And as a result as mentioned EBITDA strong increased by 11% to CHF2.27 billion or 19.3% of net sales, which represents an all-time record margin. Now dissecting this a bit in terms of the individual components here, the EBITDA bridge of 2024. Starting on the left-hand side, we've reported EBITDA of 18.2% in 2023, adding back the onetime costs of last year to a normalized CHF2.17 billion or 19.3% doing the same thing here on the right-hand side in 2024 with much smaller onetime costs here 19.4% normalized profitability. And if we break down here the underlying performance on organic material margin increase of 70 basis points and an over-proportional more primarily wage inflation driven material cost increase providing for negative cost leverage of 90 basis points, but this 90 basis points is significantly down from the first half year where we had minus 150. Then MBCC, well, initially the first four months again contributing an initial dilution of 30 basis points. But here you can see the incremental synergies this year of more than CHF80 million, strongly overcompensating this with a net overall contribution of 30 basis points to EBITDA development of the group. As mentioned by Thomas before integration is going extremely well. CHF125 million of synergies achieved, even slightly above the increased synergy guidance for 2024, which was CHF 100 million to CHF 120 million with a good traction overall. Now, moving back to the P&L and looking here below the EBITDA line. Depreciation and amortization expense grew by 12% or CHF 60 million in absolute terms to CHF 556 million. This is primarily due to higher intangible amortization related to MBCC again, the first additional four months of the year and the consummated bolt-on acquisitions. Organically, depreciation and amortization expense was largely in line with organic sales growth. And as a result, EBIT increased here by 10.6% to CHF 1.71 billion. In looking at the lines here below, EBIT here in combination a significant decrease. But in looking at interest expense, individually here an increase of CHF 24.5 million compared to the same period of last year. Here the increase is largely due to an additional quarter of MBCC-related financing, primarily through the issuance of bonds. Interest costs, however, have started to decrease in the second half year, the result of ongoing repayments of some of the bonds, I'll come to that a little bit later. By contrast, other financial expenses, which also are part of this interest and financial expense line, here we had a significant decrease by CHF 86 million. This is primarily due to hedging gains on currency swaps related to swapping, euro-denominated bonds into Swiss franc bonds as well as lower foreign exchange valuation and hyperinflation impacts, resulting to this significant increase overall of total net financial expenses, here an increase of almost 30% to CHF 150.9 million. Talking about here the tax rate quickly before, we come to the balance sheet. Also tax rate decreased by 30 basis points from 20.5% to 20.2%. Here, we also had one effect relating to deferred tax benefits on a restructuring, which was partially offset by higher withholding taxes on internal dividends. Now, on the balance sheet. Overall, we saw balance sheet extension in 2024, with balance sheet total increasing by 6.2%. This was largely due to weakening Swiss franc at the end of the year with foreign exchange translation effects close to CHF 500 million of this roughly CHF 16 billion total. In looking at current assets, here the increase is due to a higher cash balance, but also some net working capital items particularly here also impacted by foreign exchange and also somewhat higher accounts receivables relating to mix. On the intangible side, here the increase of about CHF 400 million is largely due to foreign exchange translation effects. If you look at additional goodwill and intangibles from the bolt-on acquisitions, they were pretty much in line with ongoing annual amortization. So the impact is all foreign exchange-driven. In looking at the liabilities, here the shifts are primarily related to financing and definancing activities and the duration of the respective instruments during 2024. Sika repaid four expiring bonds in the total amount of approximately CHF 1 billion and took out in the second quarter of 2024 CHF 400 million of bonds at overall lower cost. Total financial liabilities at the end of 2024 stood at CHF 5.7 billion, a decrease of CHF 110 million. If you look at net debt, here the decrease CHF 180 million to CHF 5.0 billion in December 2024. And shareholder equity quite, a significant increase, obviously driven by net profit growth net of dividends, but also here currency translation effects had a positive effect the 19% increase of equity to more than CHF 7 billion overall. Return on capital employed, here also impacted by the acquisition of MBCC, as well as foreign exchange translation impact decreased to 14.2%. Acquisition adjusted ROCE is at 22.1%. Now, turning to cash flow. Here again, in 2024 strong cash generation. If you look at operating free cash flow CHF 1.4 billion, slightly down from the previous year key driver overall strong and increased net profit before tax at CHF 1.56 billion also higher depreciation and amortization expense by CHF 60 million. This was offset by higher net working capital of CHF 163 million, which compares to actually a reduction of last year of CHF 82 million, and also modestly higher CapEx of CHF 340 million in 2024, also slightly higher tax cash taxes overall. This also here having quite a positive comparison to our targets of 10% of net sales here for the second year strongly above, and obviously, operating free cash flow. So driving here leverage down from 2.6 times to 2.2% where we showed again a quite solid deleveraging profile. And this is a continuation here also of the deleveraging since the first time consolidation of MBCC in mid-2023 where the leverage stood 4.1 times, now down almost two turns at 2.2 very similar to the 2019-2020 phase where Parex was acquired also showing a very strong deleveraging profile at the time. This brings me to the dividend proposal. As mentioned, the Board of Directors proposes again a higher dividend compared to the previous year. It is proposed to increase the dividend by CHF 3.30 per share from CHF 3.30 to CHF 3.60, which represents a 9.1% increase. Again, as last year 50% is proposed to be paid out of retained earnings, and 50% out of the capital contribution reserve. Overall, payout ratio corresponds to 46.4% of net profit attributable to shareholders. With this, we would continue with the outlook for 2025, and I hand over to Christoph.
Christoph Ganz: All right. Good morning, everyone. So I would say, giving an outlook on 2025 on EMEA is a bit like crystal ball reading, because we have a lot of open factors, which we don't know exactly how they're going to turn out. Sure, this whole US tariff discussion could have an impact then hopefully, an end to the Ukraine conflict, which would have a tremendous positive impact on our business terminal actions. We're all waiting for it. And also, French government, which is reducing some of their spendings. But overall, I think we could say, we will continue seeing a similar environment like last year rather challenging in Europe. Also in the automotive industry, as you can imagine, at the same side, we could say that we will continue seeing this double-digit booming markets in Africa and the Middle East, which are helping the overall EMEA performance quite a bit. I basically reached an agreement with Thomas and Dominik to forecast let's say a low single-digit growth for EMEA 3%, 4%, 5%, I'll leave this to you. However, you want to interpret it for sure. We will do everything possible to grow as much as we can. We see quite some positive developments over the last five months, which I personally like a lot. So it shows also that, the things we put in place are showing first successes. I think you all know already our strategy go where the money is. This is a strategy which we brought from the Americas into EMEA. We analyzed all our markets. Very specifically, we know now where the money is also in challenging environments like Germany and we can conclude, there are a lot of markets that are growing independently of politics and what markets are doing. I'd like to mention here, power and energy. There are a lot of money going into power and energy in Europe from wind nuclear plants hydropower et cetera also food and beverage, people eat, whether there is a crisis or not and these companies are investing and Sika is working with all of the big guys of pharmaceutical industry is also growing tremendously in Europe data centers you name it, but also a few exotic markets we found like fish farms for example. There is no competition right now and it's a beautiful project where we are supplying coatings for these fish tanks et cetera. And then I -- less than three points to show you a bit the new spirit in EMEA, what we're doing, cross-selling. When there are less projects, you have to make sure you're selling more in the fewer projects that are around and this is what we're doing. And I guess you know we merged the automotive industry, the automotive business and industry business into the regions beginning of this year. And here we have a nice example of the battery industry. There are several new battery plants that are being built for example five in Germany and Sika did when all the floors there. And at the same time, our colleagues from automotive industry, they're winning the fillers that go into the assembly of these battery pack. So, this is what we call cross-selling at its best. So, we are trying to get as much business, as much money out of this particular industry as possible. Then also a bit a new industry, we're targeting is residential construction. Sika has never been really strong in this Parex Marcel also MBCC. They brought a very nice range now which we're pushing in this industry. There these real estate developers that I got to know in the US that are building these hundreds of villas and apartment store -- apartment buildings that the same kind of customers we see of course also in EMEA. We see an example here from Dubai this six senses complex, but also a French one, which we did win, was really very nice to see for me, 11,000 apartments being refurbished or new build in France, crisis in France, but there is investment. It's a military investment actually in France and Sika did win here a very nice double-digit million business. So we see this kind of market. There's an interesting new target here for us. And then last but not least, I think you heard it from Thomas also infrastructure. Infrastructure is booming all over EMEA. No doubt, independent of the market situation, there are a lot of projects being built. Here you see the largest desalination plant in the world in Saudi Arabia but also in Africa, like this hydropower plant that's being built. But also in Europe, there's a lot of infrastructure construction going on, like this huge highway, 400 kilometers in Romania for example, you saw the highway before in Montenegro. This is a EU money actually that is being built there. And we don't care where the money comes from. We try to take it. So this is definitely an area that has growth also this year and in the years to come. And I gulf tunnel, I should mention of course, Sika is very proud to be again, one of the key suppliers of the new gulf tunnel that is right now under construction. We almost forgot because we got used to this a bit. Last point digitalization. We have a lot of data, which we never really use data from the ERP system but also from CRM system. And we are now starting some pilots with artificial intelligence just to analyze this data get much more information out of it like price elasticity information, how do our customers react in which countries on certain moves in prices. So very interesting developments also there, which will also help us and support us to perform in the future. So all in all I'm positive, it's also my job to be positive for EMEA. But for sure we will come back with some growth from our side as much as we can. That's our target. That's what we're trying to do also to make you guys happy at the next media conference. Thank you. I think we have Americas right?
Mike Campion: Good morning. So it's my pleasure this morning to talk a little bit about the outlook for 2025 for the Americas. And I think when we look at that we have to see the momentum carrying us into the outlook for 2025. We had a very strong 2024 across the Americas with solid double-digit growth and an over-proportional profit development. So the beauty of this is that we accelerated into the second half of 2024 with a very strong in Q4 development. And I think we have this now, this outstanding committed and fully engaged team across the Americas running full speed now into 2025. We see a very positive market trend developing across the region. So we have I would say strong optimism in many of the markets, especially in the US, where we see really consumer confidence at a very high level. And really across LatAm as well, we have significant optimism. So really we're looking at a growth, mid-single-digit growth in the region and strong mid growth – mid-single-digit growth in the US, particularly in Brazil and also LatAm South. I think we have huge potential here. I think the opportunities are really across the board. Now you may have heard of course in the news you can't avoid it. You bought some turbulence in the markets. We talked a lot about tariffs. We talk about sticky inflation. We talked a little bit about the stagnant interest rates. But despite all of this, we still believe, there's plenty of opportunity to grow. And part of that is thanks to our local presence. If I look at the US specifically, close to 100% of our products and solutions to the solar in the US are also manufactured locally. So – and then we have that in many of the countries across the Americas. So we're not so concerned about tariffs. We have a very robust supply chain with multiple sources. We don't have single source any one place. And we've seen a lot of this activity really since COVID, where we really needed to find more robust supply chains, needed alternative solutions when supplies got tight. So this really prepared us now to operate in a tariff situation, where we can move volumes around quickly and efficiently. This is not a shocking new term. We knew it was coming so well prepared. Then also so how are we going to grow? And reshoring again coming out of COVID, we saw lots of new companies moving back to the Americas not just in the US but across the Americas we see a lot in Mexico and Brazil, in the US, certainly. And these offer lots of opportunities for us to continue to grow. Data centers. We've talked about data centers a lot over the last few years. Management development -- and again this is everywhere across the region. Here on the right, you see the Equinix data center is the SV6 and 7 campus in Brazil, which continues to grow. We have really data centers all over the region that are growing nicely with massive investments. And now we have from the Trump administration this new target initiative. There's a commitment of CHF 500 billion investment in new AI capabilities across the region in the next four years. There's CHF 110 million of that dedicated to AI projects, kind of, shovel-ready. So while we had this massive influx for data centers we see even more coming. So this is a great market for us. We have huge potential and we'll continue to grow. Many -- one other they see here the Wall Astoria hotel. This a great project for us, chose a bit the capability of Sika. This will be the tallest building south of New York City. This is going to be a mixed residential commercial structure with 360 rooms and 205 for the retail. This super mix we produced 1,400 trucks, 31 hours straight port out of six different plants and it was really a flawless operation to get this foundation placed. So really pushing the envelope and what's possible in the concrete and we continue to do that. So that leads a bit then into the infrastructure development. Here we see massive infrastructure development the Inflationary Reduction Act while some of those elements were removed in administration many remain, especially, everything in infrastructure remain. So we see massive investments in metros and bridges ports tunnels. All of the major verticals that we work on in the infrastructure space. So again here we see tremendous potential going forward. I have here at the bottom a few of those nice ones. And we do a lot of infrastructure not only in new infrastructure, but also on renovation. A good example here is the Throgs Neck Bridge. Many of you may have crossed over this if you go into New York City. It's where the East River meets the Long Island Sound and it links Queens to the Bronx. And this is a four restoration 60-year-old bridge and we're using various repair materials engineered joints sealants to bring this - this bridge is a critical bridge back up to code. We have a similar case in Îles aux Tourtes bridge in Montreal on the west tip of the island. Again six-year-old bridge two kilometers long really a strategic bridge feeding Montreal. And here we have everything in our arsenal. We have anchors. We have routes, motors, the carbon reinforce, the polymer, sealants to bring this bridge back up to standard. And meanwhile there's a new bridge a new lane being formed just beside. So we have a new and old -- new construction and restoration on the same project really exciting. I also mentioned here the Metro Santiago Line 7 in Santiago Chile. This is a new tunnel PBM. It's going to be a nine-year project for us. We've been working on it already many years to go now with the additional phases. And this is 140 kilometers, 136 stations and it's been a tremendous project for us again challenging with the different soils, but really a tremendous project which will go. And it's not just in Chile. We also have these in Sao Paulo, Brazil. We have it in [indiscernible]. We have it in Canada and also now various projects in the US as well. So lots of infrastructure development, lots of different types of projects. So we're confident that this will also continue to keep this fantastic growth story going in the Americas. And then lastly I have to make a comment to the E&I business in the Americas. While we see a bit subdued build rates in the automotive sector, but despite these challenging market conditions where we see flat to low single-digit build rates. Here we believe we'll continue to grow nicely with increasing our content per vehicle. And we can see this in -- if I look at our transportation aftermarkets, we just picked up a fantastic new project with the U.S. Postal Service, they're making e-vehicles and new mail carrier vehicles. We have a nine-year contract with them 16,000 vehicles per year. These e-vehicles we use the full slate of Sika solutions for e-vehicles. And it's just an example of finding new and bigger and better applications for our products to continue this growth. So, I guess, I have to say that the team is ready. We're running hard into 2025, and fully expect to have another solid year of growth and expansion in the Americas region. So that's it for me. Thank you. And I guess I turn it over to my friend Philippe for Asia Pacific.
Philippe Jost: All right. Thanks, Mike. Looking at Asia-Pacific, I think, we see a little bit, like Christophe said a mixed picture on the one hand side. In China, we continue to see a difficult construction market. This is mainly due to consumer confidence and some deflationary pressures on the residential sector. And it's very similar to what we experienced this year and we're able to perform the local teams who are able to perform in that difficult condition extremely well. We gained market share. We were also able to defend our profitability in China in this difficult environment. The other markets we see more positive. We see India, Southeast Asia particularly continue to grow extremely well for us and continue to do so. There's also a lot of investments going into the companies are derisking their supply chain, investing in Southeast Asia, Indonesia, Vietnam, India to start factories that then export not only from China, but from those locations into other countries of the world, and this is of course helping us a lot as those projects materialize. I think the rest -- so the rest of the region other than China, we see very, very positive and looking forward into 2025. The other area of interest for us is automotive and industry. We've invested quite a lot in the last few years into Asia Pacific working with Japanese, Korean and Chinese OEM manufacturers. We also invested in our supply chain. Four years ago we made an acquisition in Japan, but also with factories in China and Thailand that will help us to enter those markets. So it's the only region of the world where build rates are still increasing. And this for us is a big opportunity also not only because of the increasing build rates, but also because our market share here still has a lot of potential for us to grow. In Asia, in general compared to maybe the Americas or Europe in particular, we still have a lot of opportunity to grow in infrastructure projects. I think we see here just on examples of railways the high-speed railway between Mumbai and Ahmedabad was already mentioned in an annual report by us. But I think we have many other railways in the North of India 120, 130 kilometers long with 26 tunnels, 13 bridges that we're actively supplying our products in and continue to see that those project types are a huge opportunity for us. Also you see airport in Vietnam. There's quite a lot of pressure to open that airport in -- for next year because that's the 50th anniversary of the Vietnamese country with the current regime and they really want to open that new airport in near Ho Chi Minh City on that anniversary. We're supplying here mainly waterproofing membranes, but also and flooring products. And it's one of the nice projects, but among other many airports also in India that we supply. Other area that we see here in infrastructure is the offshore wind. We see here off the coast of Taiwan, China, Korea many, many wind projects and this is really a combination of technology that we acquired from MBCC with the local presence of our Sika teams local factories that we have to supply those products to those projects. So there's a number of nice large projects that we started supplying this year and will continue to supply throughout the year going into next year. Another extremely interesting opportunity for us. And then the other part that I'm very excited about is the distribution business for us, as we learn from Parex how attractive this business can be in China. We're learning from the successes we interact not only with our distributors with end users we now have over seven million end users that we interact directly with through digital, media and digital means. We're rolling out that concept in other markets that are very, very similar like India, Southeast Asia and we anticipate for 2025 that this will going to gain momentum. So, overall, in summary, I think, it's still a difficult year for China, but many, many other opportunities for the rest of the region. So we're expecting overall a slight single-digit growth for Asia Pacific. Now I hand over back to Thomas, I think.
Thomas Hasler: Good. Thank you, Philippe. And I guess with this flavor from the region, no surprise in regards to how we are forecasting 2025, 3% to 6% in local currency our top line growth and further enhancing our EBITDA ratio with 19.5% to 19.8% in 2025 as well as confirming our strategic targets according to the mid-term Strategy 2028 planned for sustainable and profitable growth. And with that, we would open up for Q&A. Yes, please. John.
Q - Unidentified Analyst: Thank you. [indiscernible] [Operator Instructions] You mentioned that the U.S. is doing very well at the moment. So I was just wondering obviously particularly in light of the tariff situation and also the market doing very well. Is the U.S. going to be a focus for either organic investment moving forward? Are you going to build more plants there? And also are you going to focus your M&A more on the U.S. in the future, because of these opportunities there? That's the first one. And then secondly, just on M&A generally, what sort of scale of deals? Are you looking at like is there a number you're looking at this year? I mean you did three last year which wasn't very many for Sika normally. So are you looking to do a few more? And could you do something -- would you do something big or any guidance on that, please? Thank you.
Thomas Hasler: Okay. Thank you, John. I think we have a very solid U.S. base. It's almost -- it's the biggest single country. It has a very strong footprint -- we have been and we continue to invest into that footprint, into upgrading that footprint. CapEx has been let's say assigned to the U.S. in the past. Also this year, I would say nothing in particular driven by any tariff. It's more the potential in the U.S. mandates further investment capacity buildup for the U.S. market. So this is not driven by those factors that you mentioned, this is driven by the need and the potential that we see in that market. And yes, there might be more potential coming, but we have always allocated the required resources into the U.S. Also from the M&A side, we have done quite a few transactions in the U.S. The U.S. is let's say, an M&A-friendly environment, probably with the DOJ changing even a bit more, friendly. So this has been always for us. There are no, limitation. You don't grab the opportunities. We did last year a very nice transaction with Kwik Bond. And we are working of course continuously on that ad. Also there are no special let's say, refocusing. We provide the U.S. all the means to grow organically inorganically, but not particular driven by who is leading the U.S. It is more a steady appreciation of our largest country. Then on the M&A side, I indicated we had a bit of a slowdown given let's say, antitrust approval process, but we are back in the game. And we announced already one this year in Singapore. And we have a few more we hope to announce relatively shortly. So our pipeline is well equipped. And it is especially the small and mid-sized, the ones the bolt-on that so very well match our local needs are in focus. Larger ones are at this point of time; less of a discussion point look at our leverage, look at our let's say still ongoing integration. Here we take it very cautious. And we always say, mid and small size targets are part of our strategy. Big ones they are more exceptional and are not considered into the mid-term targets. But we are seeing here an up-tick in activities not only let's say in the U.S., but also in the other regions we have a nice pipeline.
Unidentified Analyst: [indiscernible]?
Thomas Hasler: The number of deals is relatively open since these deals have a very local nature, you can do a couple in Asia, a couple in EMEA, a couple and they don't interfere with each other. It is more let's say opportunity-driven some negotiations and you can ask Christoph. They are painful and time consuming, advancing with the prospects but we are doing that. We don't limit. We don't hold back. We try to execute, but it takes two to get to the closing. And here we have the means. So I expect more transactions than last year. Very clear, but we will see where we end. We will eventually soon have some more to report and then see as it comes. Yeah, Ramon?
Remo Rosenau: Thank you. Remo Rosenau from Helvetische Bank. Just looking at the Q4 figures, you posted the 100 basis points more or less lower material margin about a 50 basis points higher EBITDA margin, which means that you gained 150 basis points within OpEx, which was the strongest contribution for the whole year in the quarter. You mentioned that personnel costs were less of a burden in Q4 compared to the other quarters and the general efficiencies improved, but is this a pattern that we can now basically also expect to continue into 2025 that, I mean the material margin will remain more or less where it is probably a bit lower even. But you overcompensate with this strong positive contribution from OpEx.
Adrian Widmer: Yeah. I mean, on the material margin, I mean you saw it and I think we also announced that before it's more back to a regular pattern. There is a certain seasonality on the material margin in let's say the second half in Q4. I mean, Q3 in that sense was a bit exceptional due to a very favorable gross price spread. So you're right. In terms of the material margin going forward also the input cost development at least in the short-term, we're seeing it's more flattish. That is basically also in terms of the target where we are the range one can expect. Of course, volatility will remain in this space. But for the next few months, we see on the input cost side more steady development. I think on the cost development, yes, we had seen quite let's say an inflationary pressure, which has eased to some extent. There's always a bit of a backloading but we have also been focusing on efficiency on the synergies also overall cost development in line with the top line that is obviously something we're continuing. I wouldn't necessarily just extrapolate here trajectory, but I think the inflationary pressure also in combination with our ability to drive efficiency has clearly improved.
Remo Rosenau: Okay. Thank you. Then a more general question. A lot of this infrastructure boom in the US particularly was also government based right? I mean, anti-inflation act, which was not anti-inflation, not at all. And with the current government, I mean they look at all sorts of cuts. I mean isn't there a risk that this government spending in all these areas might go down somewhat at some point.
Thomas Hasler: It will shift. It will probably -- or it is already shifting. Some of the projects are not of interest for the new government, but there are others. And so I think most important the ones that really are infrastructure related, most of them do continue. And also the discussions on gas and oil, which the former let's say government didn't favor is becoming again a topic of investments. So I think the there is a shift ongoing, but so far and also confirmed in the beginning of January when we met at the Vegas convention for the World of Concrete, our contractors. The construction industry is euphoric, they are -- they see projects coming their way. And so, that expectation is really also fueling the confidence of our organization. And you could see also Mike, he had to hold back a little bit. But this is clearly, -- the expectations are that the new government is more, let's say, construction-oriented spending in a way that is beneficial. And not to forget, I mean, the construction industry still is a bit challenged by having a backlog of projects that are delayed, because they cannot execute. So the pipeline in construction is well loaded, and I think it's not that dependent, if a few projects more or less are government initiated, I mean, what the government is influencing a lot is the reshoring. I think the balancing of the supply chain basis, is a key topic for any American company to question imports from north or south or overseas, and this is at least triggering consideration to Greenfield, more commercial construction. Is this short-term visible? I think this is in the make, but it is also fueling confidence that midterm, we will have more manufacturing. We will have more commercial construction for the whole market in the US and less importation, giving us the direction that Mr. Trump takes.
Remo Rosenau: Okay. Thank you.
Thomas Hasler: Patrick maybe.
Q – Patrick Rafaisz: Thanks, Patrick Rafaisz from UBS. Two or three questions, maybe just a clarification on the guidance for the top line. And if we take the range, what are the big sliding levers, here? Is it the volume that explains the range? Is it the M&A contribution? Is it pricing? Just trying to understand, what's the biggest driver here whether you come in at the lower or the upper end?
Adrian Widmer: Yes, I think, it's clearly -- and you've heard it. I mean, there is obviously some strong markets. There is others where there is still, quite some uncertainty and it's clearly, set at the range driven by let's say, the underlying market. I think we feel quite confident in our ability to let's say, grow above the market, be focused on areas in every market, on the attractive areas to drive business. So it's clearly, sort of the underlying market development where we still have across the regions a number of uncertainties. On the M&A side, it's really sort of the bolt-on range of the 1% to 2% low and up range that's built into here the 3% to 6%.
Thomas Hasler: I think here also, when you listen to the regions. All of them are adding up, but they are not homogeneous. And when you look in EMEA, the Middle East is a booming region or area. We have expectation, our teams are outperforming. We have challenged areas where we also expect the same outperformance, that may not lead to the same absolute or relative evolution. But when you aggregate in the regions, I think, the region manager have well described where are the hotspots, where are probably the challenging markets. The overall -- that applies of course, when you aggregate it also on the group and leads us to the confidence of guiding for 3% to 6% for 2025.
Q – Patrick Rafaisz: And price within the mix, zero-ish slightly positive or?
Thomas Hasler: Yes, it's a bit more than last year. So, we expect here rather 0.5 percentage point to 1%.
Q – Patrick Rafaisz: Great. Thanks. And then, the performance in Asia Pacific in Q4, as an exit rate was pretty negative right, minus 3.9% I think. And now the guidance for the region is for positive growth in local currencies. When should we expect or when do you foresee an inflection here for the growth?
Thomas Hasler: I think here it's clear, Q1 is a difficult year in APAC with Chinese New Year. So it's almost like Christmas and Easter together. So, it's not going to be in Q1. Q1 is a bit an extension of Q4. But the expectation is that overall for the region we've also the let's say the markets that have a positive traction that we will see turnaround -- or let's say change in direction in Q2 latest in Q3. But Q1 is still much influenced by the Lunar New Year, which is also let's say affecting Vietnam, Malaysia, Taiwan, it's not just China that is celebrating.
Patrick Rafaisz: Thanks. That's very helpful. And then the last question for Adrian and the working capital inventories receivables what should we expect for 2025? Would that reverse again? Why did you absorb this CHF160 million?
Adrian Widmer: The increase I think there is I would say several smaller factors. I mean one is again also foreign exchange translation given the devaluation of the Swiss franc, particularly towards the end of the year that probably had about a CHF70 million translation impact on the working capital. Inventory in some cases slightly higher but more to provide for the shipment pattern. On the receivable side, actually, a relatively good development. We had a bit of a mix effect also depending or relating to the different regions. I mean obviously Middle East, they're being quite strong also having longer payment terms and a bit of an AR days extension in China but not major. Obviously, the focus continues to be on improving these metrics on the receivable side, but particularly, also optimizing on the inventory side particularly as integration here is progressing quite well.
Patrick Rafaisz: Thank you very much.
Martin Flueckiger: Yes, thanks. Martin Flueckiger from Kepler Cheuvreux. I've got three questions. First one is on your strategic EBITDA margin target range of 20% to 23% by 2026. Now, we're quickly approaching that year. And if you're guiding for 19.5% to 19.8% for this year doesn't look like you're going to be at the upper end of that range by next year. So, just wondering why you didn't adjust that target range if you're guiding for the amount you are for 2025 and what would it take to get to at least the midpoint? That's my first question. I'll take one at a time.
Thomas Hasler: Okay, I think here it's very clear that we have three years ahead of us 2026, 2027, 2028. 2026 is going to be the year -- the first year we are in this range and we are not stopping them. So, we don't see any reason why we should deviate from our midterm target. We have this DNA of increasing over-proportionally our EBITDA. We added 110 basis points last year. We are indicating a further increase this year and this will also happen in 2026, 2027, and 2028. So, we feel very comfortable that this 20% to 23% range is solid. But of course in the first year we get into there, it will be probably on the lower side and then we move further. So, there's no reason why we would question that. The power that I demonstrated in the beginning sticks stronger than ever. And also in challenging environments in 2024 we were able to outperform. That's our aspiration also for 2025 and the years ahead. And therefore this range we feel comfortable and no need to make you any corrections.
Martin Flueckiger: Okay. Thanks. And judging from your payout ratio for 2024, it looks like your dividend policy has gotten a little bit more generous over the last few years compared to previous payout ratios. So, just wondering what analysts should put into their models going forward? What you think is reasonable and what the main drivers are going to be of that?
Adrian Widmer: I mean on the dividends I mean last year and this was basically -- well payout last year relating to 2023, we actually had an increased payout ratio of about 49%. So, we're coming back. There is no let's say change in the overall payout policy sort of around 42%, 44% that we have now taken this a bit back. So there is no change. I mean in 2023, we had quite some exceptional impact on the M&A and integration costs higher interest. I mean this is now receding. So we will continue to pay out attractive dividends, but the payout ratio is not going to deviate away from this 42% 44% overall.
Martin Flueckiger: Thanks. That's clear. And then my final one is also for you, Adrian. Wage inflation, if I understood you correctly it was around 4% last year. I was just wondering what you're counting on for this year?
Adrian Widmer: Yeah, 2025, I mean historically we're sort of around 2.5 to 3. I would probably see still a slightly sort of elevated level to that, but it should come clearly closer to the 3%. That would be the expectation on a like-for-like basis for 2025.
Thomas Hasler: More questions? No. We can...
Benjamin Triebe: Thank you very much. Benjamin Triebe from NZZ. I got two questions. The first one maybe for Mr. Ganz because it's about Europe. You briefly mentioned the hope for piece in Ukraine. And I was wondering how is Sika positioned to participate in maybe piece and reconstruction of the country? Are there -- is there maybe some kind of planning that you're already undertaking? So how would you participate in that? And secondly, we talked a lot about the different factors in the US and you said you are expecting to outperform the market. Well, there's quite a debate about companies losing out from Mr. Trump and his policy but is Sika Trump winner?
Thomas Hasler: Okay. Maybe first on the comment and I speak for Christophe, I think we are aligned, the impact of an end of the war is much more let's say on Western Europe, bringing let's say stability back. In absolute terms, the positive element is rather let's say outside the Ukraine, inside the Ukraine we have a strong team that has also weathered difficult situation and is supporting the local construction industry. And definitely, piece would probably also give them more opportunities. But from a perspective on the group, this is insignificant. It's more significant that we would have less uncertainty, more clarity stability that could let's say open up opportunities more in the West than in specifically in the Ukraine. And then the second topic is a topic I answered already a year ago or half a year ago. For us, it was not relevant if Harris wins or if Trump wins, for us this may have some shifts in perspectives, but ultimately I wouldn't consider us to be a beneficiary of the administration. We have seen also the Biden administration in the four years has initiated let's say initiatives that were supporting the construction business was trying to offset the inflation challenge. So I think for me, it was always clear that the US government will always take care of its domestic economy that has always been a strength and then you have maybe a more blue or red view on this, but that's the strength of the US that they will not handicap their industry their economy and therefore it's less relevant for us.
Benjamin Triebe: Excellent. Thank you.
Dominik Slappnig: Okay. I think there are as well some questions from the virtual room. And first I would ask Cedar Ekblom from Morgan Stanley to come up with your questions.
Cedar Ekblom: Thank you. Can you hear me?
Thomas Hasler: Loud and clear.
Cedar Ekblom: Perfect. Hopefully, you can see me as well. So I've just got one question on the margin bridge to 2025. So Adrian, just to confirm you're guiding to basically a flat gross margin or at least that's how I take your signaling. And then if we look at some of the headwinds that we had in 2024, we have the dilution from MBCC, we had some integration costs which obviously shouldn't occur in 2025. You had some benefit from material margin, but then you also had offset from operating leverage. And so the question is you're only guiding to 20 to 50 basis points of EBITDA margin improvement. But you're signaling a more positive backdrop as it relates to potentially the volume picture. So I just want to try and understand, how we think about operating leverage in the business? In the past, I think the message was that you needed 2.5% to 3% volume growth in order to start to get some positive operating leverage. Is that still the message? Or is there potential that the operating leverage is actually better, because of some of the initiatives you're doing on operating costs et cetera which seem to have come through in the fourth quarter? Thank you.
Adrian Widmer: Yes. Thanks, Cedar. Maybe firstly a comment on the material margin. I think, here let's say, M&A in 2024 means largely neutral. I mean, there has been a certain synergy element also impacting material margin. On the other hand on the bolt-ons, we were slightly negative. So there is relatively, I would say, insignificant impact in 2024 here on the margin bridge. But you're right going forward, I mean, here we're guiding basically on a sort of constant here material margin. Obviously, we have certain uncertainties ups and downs. I mean, the other buckets clearly on the synergy side, we should see another CHF 35 million of synergies coming through in 2025, so around or close to 30 basis points. Operational efficiency initiatives we continue to drive, which has a slight positive impact overall. The -- let's say, the upper end lower range is really driven by the volume equation. And if you think about the lower end of the range in terms of growth for a moment, which would basically translate into 2% organic growth, where we would see a certain negative leverage. As in the past, as we say 3% growth will have a positive contribution now outside here of the operational efficiency side. And that is really then the element that would partially negate some of the efficiency improvements. And on the upper side obviously, there should not be a negative leverage.
Dominik Slappnig: Excellent. So the next question goes to Priyal Woolf from Jefferies.
Priyal Woolf: Can you hear me?
Thomas Hasler: Yes, loud and clear, yes.
Priyal Woolf: Okay. Perfect. I just had one clarification and then two questions. The first clarification, so thank you for the detail on the sales guidance for 2025 by division. Can I just check that, that's Sika's local currency growth? Or is that your view on underlying market volumes?
Thomas Hasler: That's in local currency.
Priyal Woolf: Perfect. And then in terms of the two questions the first one is just on sales in China given, it's big country for you. Obviously, there was a little bit of a deterioration into Q4. Can I check if this was purely volumes? Or is there some element of pricing in there? And if there is an element of pricing does that have read across two other markets, which are a little bit weaker? And then the second question is just on MBCC synergies. Obviously, you slightly exceeded your expectations in 2024, but your overall total target is still intact. Is this pull forward of the total? Or is there scope for potential upside to the overall target? Thank you.
Thomas Hasler: Okay. Thank you, Priyal. Maybe China had a difficult Q4. I think, the economy had a difficult Q4. The consumer confidence is actually dropping and that is then also becoming visible not only in the residential, but it goes across the whole. The only real stimuli that still was doing well was the electrification so the car industry. Still could increase volume. But in general, the spending has reduced, and therefore, volume have reduced in Q4. So it has much more been not spending than let's say a negative pricing element. Then on the MBCC, a wonderful transaction with fantastic synergy potential and we have guided and we stay with the guidance as we have. We have probably front-loaded and have been overachieving our short-term expectations and that's great. But I would, at this point not indicate where the end goal would be and how much it will change. We stick with our guidance of the third year materializing in '26. The acceleration came from multiple sites. I mentioned in the presentation, we were forced also to integrate faster because of branding aspects that the regulators had. That was actually very helpful. Cleaning the ship getting the best and the strongest portfolio under a single brand and that is established and delivers. That delivers synergies. And it will continue, as we have the best portfolio in the market. And how much it will contribute also in this challenging '25, we will see it. This is built into our guidance on the top line. And on the cost side, I think I mentioned before, we have a 19.5% to 19.8%. There is -- these are all considered in our synergies as Adrian indicated CHF 35 million more in '25. But this transaction is really opening multiple avenues of opportunities for us, not only let's say on the straight synergy line, but also in other areas. We have here brought two leaders together. We have here let's say global organizations that understand the global needs, but with a local route. So, fantastic. But at this point, we don't change our guidance overall.
Dominik Slappnig: And then there is another question from Brijesh Siya from HSBC.
Brijesh Siya: Hi. Can you hear me?
Thomas Hasler: Yes.
Brijesh Siya: Great. So two questions from me, as well. The first one is a follow-up on China. So, the project segment has deteriorated and distribution segment is also kind of weakened towards end of the year. Going into the next year into 2025, how do you see those two segments performed? Do you expect the distribution business still to have a positive outturn? Or you expect that also to be negative in 2025? And the project segment, you see more pens coming i.e. the decline is going to be much more severe? Or you see that decline is kind of refeeding as you see through 2025? The dust on first to China. And the second one is on the phasing of the growth, right? You're talking about 3% to 6% local currency growth. And at the same time, talking about China to have a slow start. So, is it the only delta apart from the European recovery which might be second half weighted, is it the only delta between -- or the only two delta between your phasing of the growth? So, I'm talking about Q4 being 2.3%. How do we see that H1 or rather Q1, Q2, Q3, Q4, evolve? Is it kind of slowly progressing as the year progress? Or you see more like an equal distribution across the group? And the second part of that casing is about the margin. Clearly, last year first half was having EBITDA margin from below 19% and second half of year around 19.7%, 19.8%. So, do you see a similar kind of EBITDA margin evolution as well in '25?
Thomas Hasler: Okay. I try to answer as I understood the question. So China, the business momentum in China has slowed down in Q4. That's also the start in Q1. And it is going across our businesses from the direct business which is more impacted, has always been more impacted also to the distribution. It has not hit the automotive and industry business that is still doing fairly well, given the more content we have and the good relationship we have also with the Asian OEMs. But back to the distribution, our expectation is that this is not a lasting trend. So this Q1 is an indication that there will be still a negative overall evolution, but it will turn. It will turn in Q2, Q3 that's our expectation. But it's a bit difficult to predict all the quarters given also there, a lot of elements that we can't really predict the crystal ball as Christoph mentioned, of course, applies also in China. China has tried many ways to stimulate the economy. First with the infrastructure spend, which still is ongoing but now it's much more focused on consumer confidence to spend on housing spend on the residential side, reestablish trust into the residential market, which is not the case. The prices for housing in China has been reducing over the last 16 months. So it is not turning yet. So we have to recognize that also in our guidance. China is challenged. But at the same time our team is seeing here also a good chance that in 2025 we have here a turning point. So that was I think on that. Then the second question here, the 3% to 6% guidance that we have how the progression is. I think also here that the region have overall explains the picture. Q1 is when you look compared to Q4 in the evolution progress going to be, but it will gradually -- we don't expect any major lift or a major change at least as far as we can see. So this will a gradual progression over the year. That's our expectation. Then on the EBIT margin, I think here we can outperform the markets quite well. We can do the bolt-on. That's all in our hands. The market, the weather conditions we are not rainmaker. We cannot influence that. But what we can influence is outperforming you see acquisition and then also delivering on the EBITDA. And so our commitment to 19.5% to 19.8% is a commitment that stands with the top line going 3% to 6%. I think you have also noticed that we have muscles to play to steer and get our performance in 2024 and the same applies in 2025. So we are not market dependent in delivering our mid-term targets when it comes to profitability.
Adrian Widmer: Maybe adding here just a comment on the phasing. I mean, of course, let's say volume development and how that phased has a certain impact. But absent that, I don't see any big phasing impacts. Usually particularly Q1 is a lower quarter, but that's also volume-driven, but let's say no major phasing impact or shift other than overall top line progression.
Dominik Slappnig: And maybe a last question from the online participants from Bernstein, Pujarini Ghosh please.
Pujarini Ghosh: Hi.
Dominik Slappnig: Hi.
Pujarini Ghosh: Hi. Thanks for taking my questions. So one question on the auto industry. And you just alluded to trying to increase your content per car. Could you give a split of how this has been progressing in the different markets, so China versus the West and also in terms of EV versus ICEs? And one question on the CapEx in the Americas. It has been growing as a percentage of the regional sales. And it's around 3.5% for FY 2024. How should we expect this to progress?
Thomas Hasler: Okay. I take the first question about the automotive industry. Yes, there's a pronounced difference not only in the build rates, which are still increasing in China, especially single – mid-single digit is the expectation for China. It is the mix that is very different in China than to other regions. China is now selling more than 50% of the cars as full electric vehicles, which you can say is in Europe, one of the dilemmas that cars are – car sales are low as the adoption rate towards e-vehicle is somehow stalling and the confusion about what to buy is hindering let's say volume recovery. And the opposite in the US, also given the new administration, we have a very low let's say e-vehicle participation and we expect also that the build rates will probably remain flattish but there won't be incremental, let's say volume from battery components as the battery dynamics in the US, I would say at best is questioned and is we hear cancellations of battery vehicles left and right in the US considering that probably gas prices will remain attractive in consumers by combustion engines. But to the beginning of your question, we are extending our content per vehicle on conventional applications, which means everything is structural, acoustic, bonding, ceiling, which you need universally for any vehicle that goes on the road. And then we have in addition this fantastic opportunity growth with a battery-driven vehicle, where the battery itself is a huge potential adding above roughly 25% additional potential on a full battery vehicle for us. And we are extending our contemporary vehicle on both sides. But as I mentioned, in China this will have a double positive effect, as there are more battery vehicles in the US. it will be more on the extension of our content on traditional, let's call it this way solutions. And in Europe, it will still be let's say probably overshadowed by a decrease in build rates that is to be expected at least in the short-term. And then on the CapEx I think Adrian?
Adrian Widmer: Yes, I'll take this Pujarini. I think I mean normally I would say one year is probably not a good indicator to sort of try to analyze CapEx spending or intensity. But structurally I would say that there is no let's say structural change in CapEx intensity in terms of the U.S. market versus the rest. But clearly this is a market that is growing. So, there's volume investments. There is also which lends itself a bit too larger plant also the integration and efficiency activity. So, that's really has been the driver in 2024 and will probably also be the one in 2025. But in terms of structural change of CapEx intensity, there is no such thing let's say in the U.S. compared to other markets.
Thomas Hasler: I would say here maybe in addition I mean CapEx is a limited resource and our regions know very well. Judgment is not made on the nationalities, judgments are made on return on invest. And the best return on invest prospects small, large, we'll get the support and that's the allocation of our CapEx. And all the regions, all the big countries have very attractive CapEx projects in the pipeline and we support them. So, here we will refrain from making any let's say artificial change. This is a return-driven allocation of our let's say limited resource and that's guiding us and here of course countries with a positive momentum can demonstrate returns eventually easier than in a declining but we don't make that. We look at the return of our CapEx and the possibility and the scenarios left and right. So, we really at with M&A. We are very cautious in spending. And this I think, as Adrian outlined, is in the range of 3% -- 3.5%, 3%, yes.
Pujarini Ghosh: Thank you.
Dominik Slappnig: Okay. I think this is all from Q&A and I think we are already to have a light lunch Thomas?
Thomas Hasler: Okay. So, first of all, thanks for coming. Thanks for being present here in person, but also thanks to the audience that is online. And I hope we could excite you about 2025 and also a solid demonstration of our performance 2024. I hope you have a little bit of time that we can chat and enjoy a quick lunch in the back. It will be served. And don't forget we also have specialty to take home to send it out at least here in Switzerland for those that are here. Enjoy also the [indiscernible] and have a great weekend. Thanks for showing up. Thank you.